Operator: Good day, and welcome to the InfuSystem Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Joe Dorame of Lytham Partners. Please go ahead.
Joe Dorame: Good morning, and thank you for joining us today to review InfuSystem's Third Quarter 2025 Financial Results ended September 30, 2025. With us today on the call are Carrie Lachance, Chief Executive Officer; and Barry Steele, Chief Financial Officer. After the conclusion of today's prepared remarks, we'll open the call to questions. Before we begin with prepared remarks, I would like to remind everyone certain statements made by the management team of InfuSystem during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed under Risk Factors in documents filed by the company with the Securities and Exchange Commission, including the annual report on Form 10-K for the year ended December 31, 2024. Forward-looking statements speak only as of the date the statements were made. The company can give no assurance that such forward-looking statements will prove to be correct. InfuSystem does not undertake and specifically disclaims any obligation to update any forward-looking statements, except as required by law. Now I'd like to turn the call over to Carrie Lachance, Chief Executive Officer of InfuSystem. Carrie?
Carrie Lachance: Thank you, Joe, and good morning, everyone. Welcome to InfuSystem's Third Quarter Fiscal Year 2025 Earnings Call. Thank you all for joining us today. I will provide a third quarter overview, highlighting key successes, addressing notable challenges and outlining our strategic priorities as we wrap up 2025 and look forward to 2026. Then Barry will provide a detailed summary of our financial results. I will then come back to some closing comments before opening the line to questions. This morning, we published our third quarter earnings report, which illustrated another strong quarter of financial performance, marked by continued revenue growth, margin expansion, robust cash flow, debt reduction and returning capital to our shareholders. In the report, we shared examples of the activities and initiatives we have underway that have contributed to these improved financial metrics. I'll take a few minutes now to walk through some of them. I'll start by discussing some very important projects driving our Wound Care initiatives. We see an opportunity to leverage strategic competencies present in our Patient Solutions segment beyond our existing therapies of oncology and pain management. A key driver for long-term success in this initiative has been taking steps that will lower the processing cost for each patient referral. This is why we acquired Apollo in May of this year. Integrating this company and its systems not only brought us Wound Care customers, but more importantly, presented a quick and low-cost means to upgrade to a more streamlined billing software that will allow us to process upfront paperwork and insurance claims more quickly and efficiently. During the third quarter, we completed key integration tasks, including connecting the new RCM application to our insurance billing clearinghouse, which effectively plugs in our large portfolio of insurance payers. We are now focused on additional system and process improvements, particularly building out the AI and automation enhancements that, that new tool allows and completing the transition of our existing Wound Care volume into the new system. While it's still too early to measure the exact cost reduction benefit, we believe the new system will allow us to process the highly complex Wound Care claims on a cost-efficient basis. The ongoing progress also brings us a few steps closer to onboarding our Oncology and Pain Management billing volume onto the application, further leveraging the investment and improving our overall RCM efficiency. Also in the third quarter, we began accepting patient referrals and booking revenue for pneumatic compression devices, or PCDs, through a new relationship with the device manufacturer. Although the amount of revenue was relatively small, the quickness to launch illustrates not only the strength of our payer portfolio when we bring it to bear on new products, but the significant improvements that the team has made to accelerate the speed at which we bring new products online. For now, we are classifying these revenues in Wound Care category with hopes they will grow large enough in the future to report them separately. Next, I'd like to note 3 developments positively impacting our business beyond Wound Care. First, in addition to the new billing system acquired and integrated via the Apollo acquisition during the third quarter, we went live with a machine learning tool focused on our front-end intake process, which is another complicated and time-consuming manual task. This was done even while continuing the implementation of our ERP level software system upgrade that we began in 2024. Second, we secured a significant new contract with a large hospital system for our Oncology business. Our sales team has had tremendous activity, and this win, along with others, increases our market share and will help us to continue to report Oncology revenue growth at levels exceeding expectations, a challenge given our high market share. The contract win resulting in higher volume will, of course, require us to spend capital on pumps, a fair trade, given Oncology is our most accretive revenue source. In addition, I'll note that Oncology revenue for the third quarter reached an all-time record, which is a common accolade for the business. Finally, we secured a multiyear contract extension with one of our largest national insurance payers. This type of event is not normally newsworthy since we routinely extend existing contracts and add new payers to our very extensive portfolio. However, this one stands out as particularly exciting because it provides enhanced service coverage in product areas we are focused on, such as negative pressure wound therapy devices and PCDs. The extension also contains a much appreciated price increase. The accomplishment demonstrates the depth of our contract relationships as a whole and the value our payers see in our capabilities. Before I turn the call over to Barry, I need to provide an update on developments in our biomedical services business. As we mentioned in our last quarterly call, we've been working with our largest biomedical services customer to modify the contract to reflect changes in market economics and developments in the relationship. During the third quarter, we signed a contract amendment that will improve pricing and shift the relationship to reduce device volume and lower service levels on most of the devices remaining on the contract. These changes will result in a reduction in revenue under the contract by an estimate $6 million to $7 million annually starting in December of this year. However, it is important to note these changes will also result in an expansion of our operating income by reducing costs and expenses in an amount greater than the revenue decline. We are now focused on resizing and relocating our field-based biomedical technician team to conform to the changes. While we are always disappointed by changes that reduced our revenue, we believe that profitability is a key driver of shareholder value and that these strategic adjustments are essential to our continued progress and will leave us with a very solid core field-based biomedical service business from which to build upon. Now I'll turn it over to Barry for a detailed review of the third quarter financial results. Barry?
Barry Steele: Thank you, Carrie, and thank you, everyone, on the call for joining us today. I'm going to focus on the main drivers for the current quarter's results, and I'll update you on our current financial position and how it changed during the quarter. And let me start with our financial results for the period. During the third quarter of 2025, our net revenue totaled $36.2 sic [ $36.5 ] million. This was another record, and it represented a $1.2 million or 3.3% increase from the prior year third quarter. The improvement was applicable to increased net revenue for the Patient Services segment, partially offset by lower revenue from Device Solutions. Patient Services net revenue increased by $1.6 million or 7.6% and included increased patient treatment volumes in Oncology and Wound Care. Oncology net revenue increased by nearly $700,000 or 3.6%, and Wound Care revenue was up by 116%, totaling $2 million, which was mainly driven by volume increases in negative pressure wound therapy treatments related to the Smith & Nephew partnership, increased volume from the Apollo acquisition and first-time revenue for pneumatic compression devices. Device Solutions net revenue decreased by $400,000 or 2.9%. This decrease was primarily attributable to about $400,000 in lower revenue volume in biomedical services and a standout large equipment sale during the prior year to a large rental customer that bought out $1 million in lost pumps from their contract. Partially offsetting these declines was a $600,000 nonrecurring benefit to adjust the contract asset related to our largest biomedical services customer. The lower revenue from the biomedical services mainly relates to a remediation contract that benefited the prior year but was nearly completed prior to the current year period. Gross profit for the third quarter of 2025 was $20.8 million, which was also a quarterly record and a $1.8 million or 9.3% increase over the prior year third quarter. Our gross margin percentage at just over 57% increased by 3.1% from the prior year's amount, which was a significant improvement even without the onetime 1.7% boost that received from the contract asset adjustment. The remaining increase was mainly driven by improved labor efficiency and pricing in biomedical services, improved revenue mix favoring higher-margin revenue such as Oncology, lower procurement costs and lower pump disposal expenses. Selling, general and administrative expenses for the third quarter of 2025 totaled $17 million and was $1.2 million or 7.8% higher than the prior year third quarter amount. More than half of this increase was attributable to $773,000 in expenses associated with our project to upgrade our main enterprise resource planning software. Other increases were related to additional headcount and revenue cycle and other personnel needed to support the higher revenue volume and a higher accrual for short-term incentive compensation. Partially offsetting these increases was a lower sales commissions rate related to shifts in revenue mix. Adjusted EBITDA during the 2025 third quarter was $8.3 million, which represented an increase of just over $400,000 or 5.6% from the prior year third quarter adjusted EBITDA. This represented 22.8% of net revenue for 2025, which was slightly above the prior year rate of 22.3% despite a $500,000 increase in spending on the ERP project. On a trailing 12-month basis, adjusted EBITDA totaled $30.2 million, representing a margin of 21.4%. This demonstrates that our focus on profitable revenue growth and operational efficiency is yielding meaningful results. Now a few points on our financial position and capital reserves. On a year-to-date basis, for the first 9 months, we generated operating cash flow totaling over $17 million. This amount was $4.8 million higher than the amount realized during the prior year-to-date period. This increase was due to the higher adjusted EBITDA, which on a year-to-date basis was also up by $4.8 million. Our net capital expenditures were $3.1 million so far in 2025, which represented a significant decrease from $10 million spent during the first 9 months of last year. The amount during the prior period was focused on infusion pumps needed to support increased volume in the Device Solutions rental business, which grew more significantly during that period. Although we anticipate an increased amount of medical equipment purchases during the next quarter to support some new customers in Oncology, we continue to anticipate that our overall capital spending requirements will remain at moderate levels as compared to amounts in prior years as the sources of our future revenue growth will continue to be more weighted towards less capital-intensive revenue sources. We continue to be positioned well to fund continued net revenue growth with the growing cash flow from operations backed by significant liquidity reserves available from our revolving line of credit and manageable leverage and debt service requirements. Our net debt decreased by $5.7 million during the third quarter. We were able to do this despite purchasing $2.2 million of our common stock during the quarter under our $20 million stock repurchase authorization. This brings total shareholder capital return under the plan so far this year to $8.6 million. Our available liquidity continues to be strong and totaled nearly $65 million as of September 30, 2025. At that time, our ratio of net debt to adjusted EBITDA was modest at 0.66x. Our debt consists of borrowings on our revolving line of credit with no term payment requirements. Early in the third quarter, we amended our credit agreement, extending the facility for 2 additional years. The facility now expires in July 2030. We continue to benefit from an outstanding interest rate swap, which fixes our interest rate on $20 million of the outstanding borrowings at a below market rate of 3.8% until April 2028. I'll now turn the call back over to Carrie.
Carrie Lachance: Thanks, Barry. As we close out the year with strong momentum, we are reaffirming our full year outlook, targeting adjusted EBITDA margin to be 20% or greater and revenue growth between 6% to 8%. We are entering 2026 as a stronger and more focused company, well positioned to build on this progress. As I reflect back on the efforts we made during the third quarter, the updates that we've shared with you today and what we are currently focusing on as we close out 2025, I hope you will agree that we've been diligent in pursuing the strategic priorities we laid out for you in early August when we reported the second quarter. Those priorities are to execute with discipline, deliver profitable growth and drive long-term value creation for our shareholders. Operator, we are ready for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from Kyle Bauser with ROTH Capital Partners.
Kyle Bauser: Carrie and Barry, glad to see the very nice progress around prioritizing profitable growth and sort of improving the processes to lower cost here. It sounds like you've made some nice strides across the business in relation to this, particularly in Wound Care and Oncology. It seems like Oncology is probably much more streamlined than kind of the growing Wound Care business. Can you maybe talk a little bit more, Carrie, about the additional enhancements you want to make in the Wound Care business kind of around AI and automation enhancements?
Carrie Lachance: Yes, sure. From an AI perspective or an automation perspective, we have our new system that we implemented for the revenue cycle aspect over the past few months. That's working tremendously well. We have a good portion of our business that we're starting to put into that. Our older system didn't have any AI or automation technology that it allowed for. So we're looking forward to plugging even more of the business in, but we can see some efficiencies starting already in those lines of business.
Kyle Bauser: Okay. Got it. And regarding the largest biomedical service contract changes, of course, it sounds like it will be much more profitable moving forward, which is great. Can you speak a little bit more about the level of reduction in this contract from a sales perspective? And then I think you mentioned kind of being able to recoup that in profit. So just any more color there would be appreciated.
Barry Steele: I'll jump in on that. So it is a pretty significant adjustment for the amount of revenue we'll see from that contract. It's -- we're estimating between $6 million and $7 million for 2 reasons. One, although we increased our price, there are certain locations in certain areas that we were just not working well for us or for the customer. And so our volume will go down about 40%. And the remaining volume will have a decrease in the service level. So we'll only be doing preventive maintenance services and not doing the stand-ready repairs, although we do have an opportunity to get some of those repairs back into our buildings from a depot perspective, they'll ship them into us. We're not sure exactly how much revenue we'll see in that, but we expect that some of the device we've been repairing in the field, we'll see in our depots. The good thing, though, is that helps us to adjust our cost structure significantly. And the economics on the program will now be -- should be pretty good. So it's unfortunate that we have to get back a little revenue, but we'll definitely start from a very good base to build out from. In fact, we've already won some other business with other customers that allows us to start building it back at a much more favorable margin to us.
Kyle Bauser: Got it. Appreciate that. And maybe just lastly, kind of related to that, so the 6% to 8% sales growth rate reiterated, which is great. How should we think about kind of the growth profile of Patient Services versus Device Solutions, either for this year or going forward? I guess I'm trying to get at the Device Solutions, what sort of growth profile can we envision there kind of moving forward with the change in this big contract?
Barry Steele: Yes. So obviously, that's a pretty big headwind for us for next year just from that one contract adjustment. As you're aware, we do see our growth continuing where we're focused on is in the Wound Care, the Patient Services side with a bunch of different potential therapies and things that we'll look at bringing online. And so I think that will be a little bit slower on the growth side for the Device Solutions side where you see more growth being driven by the Patient Services side as we proceed through the year. The good thing is that the change that we're talking about don't take effect until December. And so there'll be a small impact on the current year for the adjustment to the large biomedical services contract.
Kyle Bauser: Okay. Got it. That makes sense. Appreciate that. A great uptake. I think it's great to be prioritizing the profitable growth.
Operator: Our next question comes from Matt Hewitt with Craig-Hallum Capital Group.
Tollef Kohrman: This is Tollef on for Matt. Given your focus on profitable growth, how do you balance margin improvement with maintaining revenue momentum across your key segments?
Barry Steele: Yes, I'll jump in on that one. So clearly, our businesses has a fairly sizable difference from one revenue source to the other in terms of how much margin we get and more specifically, how much capital we have to spend to grow. So we have been focusing on correcting some of the areas where we're a little bit less cash flow or lower margins and making some improvements, and that's what we saw with the significant shift in the large biomedical services contract and focusing where we can grow with our core competencies in areas that we can be more profitable and specifically where we don't have to spend as much capital to grow. So that's -- in order to be able to balance out those decisions about where we focus, we're thinking about return on invested capital. So we have a smaller requirement to get into a market or to grow an area and we can see a good return and good cash flow from that. That's where we've been prioritizing ourselves. So it's not just about the margins we can see, it's about our ability to actually successfully operate in a particular product segment and the quickness of how fast we get cash flow from it.
Tollef Kohrman: Okay. And then are there any additional opportunities in Oncology or other therapeutic areas to replicate the success of the hospital system partnership?
Carrie Lachance: Yes. [ Tom, ] I do -- we mentioned the PCDs, which -- we were into PCDs a few years ago, and it was -- we struggled in that area a little bit. I think, again, the back-end systems that we're improving, automating some of those areas being a little bit more streamlined there has allowed us to continue that growth and get back into the PCD area. So that, along with Wound Care are 2 areas that we're focused on, and we see a lot of opportunity there.
Operator: Your next question comes from Jim Sidoti with Sidoti & Co.
James Sidoti: So Barry, I think I heard you say that the ERP expenses in the quarter was about $733,000. Is that right?
Barry Steele: $770,000.
James Sidoti: $770,000.
Barry Steele: Yes. That's an increase -- last year, it was a couple of hundred thousand. So we're $500,000 higher year-over-year.
James Sidoti: Okay. And you think that will be gone by 2026, right?
Barry Steele: No, we'll have spend in the first quarter. We'll be going live during the first quarter. So it will taper off after that. Keep in mind, though, our overall maintenance cost on the new system versus the old system is a little bit higher. So it doesn't all completely go away, but a very large portion of it goes away starting in the second quarter of next year.
James Sidoti: Okay. And that's more than the gain you got from renegotiating the pricing on the contract then?
Barry Steele: Well, I think -- I thought you're talking about the ERP and now that we're talking about the medical...
James Sidoti: I'm just trying to figure out if this $0.11 if it's a clean EPS number. But it sounds like the onetime benefit was offset by the onetime expense because of the ERP.
Barry Steele: That's a good way to look at it. We also had some adjustments to our short-term compensation incentives. So one thing that I think I said in my remarks, and it's probably true is if you back out the impact of the contract adjustments, so part of the price increase we got to account for prior periods because it related to prior services we already completed. That was about $600,000. If you take that out, we still had growth in our gross margin. We still had growth in our EBITDA margin. So -- but you're correct, there is offset expenses in there that you could -- they're unrelated somewhat. But yes, there will be -- if you took those things out, it would be better.
James Sidoti: Okay. All right. And then in terms of the new service agreement, so it sounds like that business went from around $11 million to about $6 million to $7 million in terms of revenue. Is that right?
Barry Steele: Well, yes, we think we're giving back somewhere between $6 million and $7 million. We don't know exactly because the volume on the repairs that we do in the building. So that -- the sort of in -- the field biomedical services business was around $10 million to $12 million business. It will be quite a bit lower. But keep in mind that we have won some other business that will make up for some of that.
James Sidoti: Okay. And on that -- with the $12 million business, can you give us a sense on what the operating profit or the -- yes, the operating profit was for that and what it will be on the small...
Barry Steele: I think the way I want to illustrate that is clearly, we were not making margins that we thought we needed to make under the contract. And with the new structure with a higher price and the different -- we're servicing in a way that we're more able to, there's going to be a distinctive improvement in our margins even at -- and I'm not talking about margin percentage, actual margin dollars under the new structure. So maybe going back to...
James Sidoti: The impact of the change -- so the operating dollars under this new agreement, when it's down to maybe a $5 million level, you're saying that you'll have more operating profit than you had when you had a $12 million business.
Barry Steele: That's correct.
James Sidoti: That's correct. Okay. So...
Barry Steele: Our top line will be negatively impacted and yet the bottom line will be positively impacted.
James Sidoti: And I assume now that some of that excess capacity, you'll try and use that for new customers?
Barry Steele: I don't think that we'll look at it as excess capacity. We won't have regional team members. We'll be sending people out from -- we'll be a little bit more concentrated with far as our footprint where we have team members closer to those devices. So some of our operating costs to get people on site will decrease. The nice thing, though, is that I think that as we build it, we'll probably not have a big concentration in one customer, right, that's kind of got the loss leader kind of contract. We do -- since we're winning other contracts, we think that we're going to be able to continue to build out in a smart way with smaller contracts that are much more favorable to us.
James Sidoti: In terms of cash, you bought back a couple of million in stock. You paid off, I think, about $3 million in debt this year. Do you think that's going to be the trend for uses of cash going forward?
Barry Steele: Yes. I think so. I mean there's other opportunities that from time to time, we'll consider that are M&A possibilities, but you'll hear about those when -- if we get something going. So we're kind of left with -- since we have positive cash flow and the business is becoming less capital intensive, we're left with excess cash to -- and so we'll have to return that to investors in the way that we have or pay down our debt, which is pretty low. So yes, it'll probably be very similar. In the fourth quarter, we definitely -- we have some new customers in Oncology that we'll need to have pumps for. So we'll be increasing the capital spend in the fourth quarter.
James Sidoti: But it sounds like with this new strategy that the operating cash flow is going to go up, not going to go down over the next couple of years.
Barry Steele: That's a big problem.
James Sidoti: Yes.
Operator: Our next question comes from Ben Haynor with Lake Street Capital Markets.
Benjamin Haynor: Just a couple for me. First off, on the biomedical services contract, are there going to be any sort of onetime expenses to kind of the transition here, moving team members around? Anything related to that? Or that just kind of they get reallocated relatively easily and not any real expenses associated with the change to the contract?
Barry Steele: Yes, there's definitely some costs. They're fairly low, both in some severance conditions and some relocations. But it will be in the fourth quarter, very small, very manageable amount.
Benjamin Haynor: Okay. And even with that, you would expect the operating profit dollars to go up?
Barry Steele: Yes. Keep in mind, the real impact to the revenue and the adjustment in the cost structure will be in early part of next year because we're still servicing the contract at the current level through the end of November. And so there's just a small -- and in December, we don't usually have as much revenue anyway because of preventive maintenance services that occur in the holiday time frame. So really not a big impact in the current year. A small additional expense for some restructuring [indiscernible] through. But again, it's more of an impact to next year where we see less revenue, but even more -- a bigger number reducing some of those costs.
Benjamin Haynor: Okay. Makes sense. And then secondly, and I guess lastly for me, on the multiyear extension within the national insurer, you got the pricing improvement, obviously, good there. Can you maybe characterize how much of a boost you got there? And then on the enhanced service coverage, kind of what goes into that? What's the opportunity on that front?
Barry Steele: Yes, the price increase is what we -- we do see price increases in other contracts as well. This one will be good for us. And yes, you must -- most of our contracts are -- there's no real concentration. So we'd have to get price increase on all of our contracts for it to be very extremely visible. But it's important for us to be able to indicate that we don't see price decreases in these contracts.
Operator: Our next question comes from Matt Hewitt with Craig-Hallum Capital Group.
Matthew Hewitt: Is there any updates on the pricing negotiations with ChemoMouthpiece?
Carrie Lachance: So from a ChemoMouthpiece, we do actually have some good news from -- we don't have anything back from CMP as far as their approval for a code, a rate for a code. So that should come by the end of this year. However, we have seen some increased placement in the market. So from a sales perspective, we have started to see the uptake into facilities for placement of the device, which has been a really great start. So again, that approval accreditation kind of code will come up by the end of the year. We're waiting for CMP to announce that. And then the rate for that code should be out midyear next year.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Carrie Lachance for any closing remarks.
Carrie Lachance: Thank you. I want to thank everyone for participating on today's call, and we look forward to our fourth quarter call when we will update on our results and progress.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.